Operator: Welcome to this morning's Belden, Incorporated August 2 Second Quarter 2017 Earnings Conference Call. Just a reminder, this call is being recorded. At this time, you are in a listen-only mode. Later, we will conduct a question-and-answer session. I would now like to turn the call over to Mr. Kevin Maczka. Please go ahead, sir.
Kevin Maczka - Belden, Inc.: Thank you, Alan. Good morning, everyone, and thank you for joining us today for Belden's second quarter 2017 earnings conference call. My name is Kevin Maczka. I am Belden's Vice President of Investor Relations. With me this morning are John Stroup, President, CEO, and Chairman; and Henk Derksen, Belden's CFO. John will provide a strategic overview of our business, and then Henk will provide a detailed review of our financial and operating results, followed by Q&A. We issued our earnings release earlier this morning, and we have prepared a slide presentation that we will reference on this call. The press release, presentation, and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to slide 2 in the presentation, during this call, management will make certain forward-looking statements in reliance upon the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. For more information, please review today's press release and our annual report on Form 10-K. Additionally, during today's call, management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, the appendix to our presentation, and the Investor Relations section of our website contain a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. I will now turn the call over to our President, CEO, and Chairman, John Stroup. John?
John S. Stroup - Belden, Inc.: Thank you, Kevin, and good morning, everyone. As a reminder, I'll be referring to adjusted results today. Please turn to slide 3 in our presentation for a review of our second quarter highlights. Overall, the business performed in line with our expectations during the second quarter. We are pleased with our continued EBITDA margin expansion and the successful of acquisition of Thinklogical. On a constant currency basis, revenues increased 2.3% to $610.6 million. The demand environment in the quarter varied significantly by platform, with solid gains in our Industrial and Network Solutions platforms offset by pressures in Broadcast and Enterprise Solutions. EBITDA grew 3.5% year-over-year, from $108.1 million to $111.8 million. EBITDA margins expanded 40 basis points from 17.9% in the prior year period to 18.3% as a result of our proven Lean enterprise system. EPS in the second quarter was $1.29 compared to $1.54 in the prior year period. After adjusting for the impact of the preferred equity issuance in July 2016 and the tax rate differential, earnings per share grew 6%. We completed the acquisition of Thinklogical during the quarter, and we are excited to welcome this talented team to the Belden family. This growing, highly profitable business enhances our Broadcast Solutions platform and we expect this acquisition to be accretive to EPS by $0.27 on a full-year basis and $0.17 in 2017. Looking forward, we remain very well positioned with a number of other attractive M&A opportunities. We were also extremely pleased with the timely execution of our recent debt refinancing at very favorable terms. By issuing €450 million of senior subordinated notes at 3.375%, the lowest long-term borrowing rate in the history of the company, we have lowered our cost of capital and extended our maturities. We expect our balance sheet actions to be accretive to EPS by $0.35 on a full-year basis and $0.18 in 2017. To reflect this debt refinancing and the Thinklogical acquisition, we are increasing our full-year revenue and EPS guidance. We expect solid double-digit EPS growth in the second half. I'd like to thank our associates for their hard work during the quarter and their commitment to aggressively executing our strategic plan. Please turn to slide 4 for a review of our business segment results. Broadcast revenues in the quarter were $188.1 million, compared to $193.5 million in the year ago period. Our Broadband business is now recovering nicely after experiencing a temporary pause isolated to two specific customers earlier in the year. We are encouraged by this improving trend. Grass Valley, however, had a disappointing quarter, experiencing similar market pressures that impacted other broadcast technology peers during the quarter. As customers transition to IP-based infrastructure, spending patterns have become increasingly uneven with project timing more difficult to predict. That said, our opportunity funnel, a good leading indicator for this business, has increased significantly. As a reminder, Grass Valley now represents approximately 43% of Broadcast Solutions revenues and 14% of consolidated revenues. We closed the Thinklogical acquisition on May 31, so we thought it would be helpful to provide some additional commentary on this exciting new addition to our Broadcast Solutions platform. The company is a leading global provider of secure, high-performance keyboard, video, mouse, or KVM, switching equipment. Its products are used for real time enterprise video management across a variety of end markets, including military, command and control, and broadcast. Thinklogical generated 2016 revenue, EBITDA, and net income of $51 million, $17 million, and $12 million, respectively. We expect this acquisition to be accretive to EPS by approximately $0.27 in the first full year of ownership and $0.17 in 2017. Broadcast segment EBITDA margins were 15.7%, increasing 50 basis points from the prior-year period, as productivity gains and the contribution from Thinklogical offset the volume and mix-related pressures. Enterprise revenues increased 1.5% on a constant currency basis to $160.7 million. Commentary from various customers, channel partners, and other industry participants suggests that demand has been negatively impacted by tight capacity in the construction labor markets. We continue to see healthy leading indicators for this business, such as the ABI, Dodge Momentum Index, and multi-year high construction backlogs, and we expect our business to improve as industry demand normalizes. As a result of this temporary pause in spending, we have been unable to fully pass through the steadily rising copper costs this year. As such, EBITDA margins were 16.7% in the quarter, increasing 20 basis points sequentially but declining 170 basis points year-over-year. Revenues in our Industrial Solutions platform increased a robust 8.8% on a constant currency basis to $159.3 million. Discrete manufacturing, our largest vertical, again experienced strong growth, expanding 10% with solid demand from machine builders. We are pleased with another quarter of growth in this vertical, driven by increasing investments in automation. Oil and gas stabilized in the quarter as expected, increasing 40% sequentially and 11% year-over-year. Industrial Solutions orders remained robust in the quarter, increasing 10% year-over-year and driving a book-to-bill ratio of 1.03. EBITDA margins increased 120 basis points from the year-ago period to 19.5% driven by solid volume leverage and favorable mix. On a constant currency basis, revenues in our Network Solutions segment increased 2.1% from the prior year period and 11.4% sequentially to $102.6 million, in line with our expectations. Importantly, the formerly known Industrial IT business continues to deliver solid growth, and Tripwire showed a notable sequential improvement. We are encouraged by the progress made in addressing the business challenges, including significantly improved sales force retention, a pipeline of quality projects and a number of new product launches. EBITDA margins increased 40 basis points year-over-year to 22.2%, largely related to productivity gains. I will now ask Henk to provide additional insight into our second quarter financial performance. Henk?
Hendrikus Derksen - Belden, Inc.: Thank you, John. I will start my comments with results for the quarter, followed by a review of our segment results, a discussion of the balance sheet, and close with our cash flow performance. As a reminder, I will be referencing adjusted results today. Please turn to slide 5 for a detailed consolidated review. Revenues in the quarter were $610.6 million, increasing 1.2% from $603.4 million in the second quarter 2016. Currency translation reduced revenues by $6.6 million. Higher copper prices and the acquisition of Thinklogical increased revenues by $8.2 million and $10.2 million, respectively. After adjusting for these factors, revenues decreased 80 basis points organically from the prior-year period. Sequentially, revenues increased $59.2 million from $551.4 million, in-line with typical seasonality. Gross profit margins for the quarter were 41.3%, decreasing 50 basis points from the prior-year period due to higher copper prices. As a reminder, when copper costs increase we generally raise selling prices, resulting in higher revenue with minimal impact to gross profit dollars. As a result, gross profit margins decrease. Sequentially, gross profit margins were in-line with the first quarter. Operating expenses for the quarter were $153.8 million, or 25.2% of revenues, decreasing $2.5 million from the prior-year period, driven by productivity initiatives. Sequentially, operating expenses increased $3.9 million, after adjusting for the impact of currency translation and Thinklogical. EBITDA was $111.8 million in the quarter. Compared to the prior-year period, EBITDA increased $3.7 million or 3.5%. EBITDA margins were 18.3% in the quarter, increasing 40 basis points from the year-ago period and 140 basis points sequentially. Net interest expense of $23.5 million for the quarter decreased $500,000 from the prior year and was in-line with the first quarter. As a result of the timely execution of our recent debt refinancing, we expect our interest expense to be reduced by approximately $22 million annually. We expect interest expense to be $19.5 million dollars in the third quarter, and $18.5 million in the fourth quarter. The effective tax rate for the second quarter was 16.6%, compared to 9.5% in the prior year, which benefited from incremental discrete tax planning initiatives. For financial modeling purposes, we recommend using a 20% effective tax rate for the third and fourth quarter, resulting in a tax rate of approximately 19% for the full-year. Net income in the quarter was $64.3 million, decreasing $1.1 million from $65.4 million in the prior-year period. Earnings per share was $1.29 in the quarter compared to $1.54 in the prior-year period. The dilutive impact of the preferred equity issuance in July 2016 was $0.20 in the quarter. After adjusting for this and the tax rate differential, earnings per share grew 6%. We expect the acquisition of Thinklogical and the debt refinancing to add $0.35 to earnings per share in 2017. On a full-year basis, we expect these actions will add $0.62 to earnings per share. Please turn to slide 6. I will now discuss revenues and operating results by business segment. Our Broadcast Solutions segment generated revenues of $188.1 million in the second quarter. Revenues decreased by 2.8% from $193.5 million in the prior-year period. Currency translation had an unfavorable impact of $1.8 million, and Thinklogical contributed $10.2 million. On an organic basis, revenues declined 6.5% year-over-year. Broadcast EBITDA margins were 15.7% in the quarter, increasing 50 basis points as productivity gains and the contribution from Thinklogical offset the volume and mix-related pressures. On a sequential basis, EBITDA margins increased 60 basis points. Our Enterprise Solutions segment generated revenues of $160.7 million during the quarter, in-line with the prior year. On an organic basis after adjusting for copper and currency translations, revenues decreased 2.2% from the prior-year period. EBITDA margins were 16.7% in the quarter, decreasing 170 basis points from the prior-year and increasing 20 basis points sequentially. The Industrial Solutions segment generated revenues of $159.3 million in the quarter, an increase of 7.8% from $147.8 million in the prior-year period. Copper had a favorable impact of $3.5 million, while currency translation reduced revenues by $1.5 million. On an organic basis, segment revenues grew 6.4% in the quarter. We are pleased with this result, and encouraged by robust order growth of 10% year-over-year. EBITDA margins of 19.5% increased 120 basis points year-over-year and 190 basis points sequentially driven by leverage on volume and mix. Our Network Solutions segment generated revenues of $102.6 million, growing 90 basis points from $101.7 million in the prior-year period. Currency translation had an unfavorable impact of $1.2 million in the quarter. On an organic basis, revenues grew 2.1% year-over-year and 11.4% sequentially. EBITDA margins of 22.2% increased 40 basis points from the prior-year period, driven by productivity initiatives. Sequentially, EBITDA margins increased 250 basis points, driven by leverage on volume. If you will turn to slide 7, I'll begin with our balance sheet highlights. Our cash and cash equivalents balance at the end of the second quarter was $670 million compared to $816 million in the first quarter and $176 million in the prior year period. The sequential decrease reflects the acquisition of Thinklogical in the quarter, net of the cash flow generated in the second quarter. Working capital turns were 7.0 turns, down 0.2 turns year-over-year. Days sales outstanding was 63 days in the second quarter, up three days year-over-year and down one day from the first quarter. PP&E turnover was 7.6 turns, in-line with prior year levels. Our total debt principal at the end of the quarter was $1.7 billion, compared to $1.66 billion in the first quarter and $1.71 billion in the second quarter 2016. The sequential increase reflects the currency translation on our euro-denominated debt. Net leverage was 2.2 times net debt to EBITDA at the end of the second quarter, compared to 1.9 times in the prior quarter and a significant improvement from 3.6 times in the prior-year period. We're extremely pleased with our refinancing actions. We have extended our maturities and significantly lowered our cost of capital. In addition, our capacity for M&A in 2017 remains robust, with approximately $475 million available for deployment. Please turn to slide 8 for a few cash flow highlights. Cash flow from operations in the second quarter was $47 million compared to $48 million in the prior year. Net capital expenditures were $11.8 million for the quarter, in-line with prior year levels. As a result, free cash flow was $35.2 million in the second quarter 2017 compared to $36.3 million in the prior year period. For the full-year 2017, we expect free cash flow to be approximately $270 million dollars. That completes my prepared remarks. I would now like to turn this call back to our President, CEO, and Chairman, John Stroup, for the outlook. John?
John S. Stroup - Belden, Inc.: Thank you, Henk. Please turn to slide 9 for our outlook regarding the third quarter and full year 2017 results. Our consolidated results for the second quarter were in line with our expectations, and we are increasing our full year revenue and EPS guidance to reflect the Thinklogical acquisition and debt refinancing. Consistent with our commitment to continuous improvement, we expect further EBITDA margin expansion and double-digit EPS growth in the second half. Further, we continue to actively pursue a number of attractive inorganic opportunities. We anticipate third quarter 2017 revenues to be between $615 million and $635 million, and EPS of $1.35 to $1.45. 2 For the full year, we expect revenues between $2.415 billion and $2.445 billion relative to our prior guidance of between $2.355 billion and $2.405 billion. We now expect full year EPS of $5.35 to $5.55. And that compares to our prior guidance of $4.95 to $5.20. Thinklogical and the recent debt refinancing are expected to add a combined $0.35 per share in 2017. That concludes our prepared remarks. Alan, please open the call to questions.
Operator: Thank you, sir. And we will take our first question from John Quealy with Canaccord Genuity.
John Quealy - Canaccord Genuity, Inc.: Hey. Good morning, folks.
John S. Stroup - Belden, Inc.: Hi, John.
John Quealy - Canaccord Genuity, Inc.: Hey. Good morning. The first question, just if we go back up to Broadcast in Grass Valley. John, I think you said you folks saw some market weakness like other participants. I know you guys are fairly, I think, confident in this year and surprisingly given that this is off cycle if you would or off cycle year one. Talk to us a little bit if you could about relative expectations given that this is sort of a cyclically low year for the end market on Grass Valley?
John S. Stroup - Belden, Inc.: Yeah. So, we were a little surprised by the results in the second quarter, John. And by the way, the results were dramatically different domestically and internationally. So, our international business was actually up a pretty healthy amount and our U.S. business was down substantially on a year-over-year basis. Most of that was a result of projects moving out, so our win rate remained very healthy. There were a number of projects in the funnel that our team thought might close in the second quarter; they didn't. They moved out into the third quarter or the fourth quarter. And so, our full year guidance reflects that the miss in the second quarter is not going to be recouped in the back half. So, we're expecting Grass Valley back half revenue, I think, to be close to flat on a year-over-year basis, maybe down a couple of points. And it's frustrating for us. We saw, obviously, you probably did too, the pre-announce by Harmonic. Their results were substantially worse than ours. We're pretty active in this space from an inorganic point of view so we have visibility into a lot of different companies' results, and the insight we have into those companies were also weak in the second quarter. So, our view is that the funnel substantiates the forecast for the back half, for the guidance for the back half substantiates revenue growth on a consolidated basis for Grass Valley. That's about flat on a year-over-year basis.
John Quealy - Canaccord Genuity, Inc.: Okay. That's helpful. My follow-up on Enterprise, at least versus our expectations, that business has been doing quite well for a mature market for several quarters. Obviously, we see the non-res data in ABI and there's a lot of companies in that channel reporting some mixed reviews. So, talk about why you think it caught up to you folks at this point. And then, lastly, the copper question in terms of the margins, is it just because channel is full that you can't recoup copper, or is it more trying to just keep the customer relationships safe and the channel inventory is lower? I'm sorry. I snuck in a couple there. Thank you, guys.
John S. Stroup - Belden, Inc.: Yeah. Okay, John. So, the results for Enterprise in the second quarter were also a little surprising to us. We began hearing things, I would say maybe four to five weeks into the quarter, from channel partners and from competitors and even some of our sell side analysts suggesting that things were surprisingly weak. And as we began to dig into it a little bit deeper, what we've concluded is that the industry itself is – has insufficient capacity from an installation point of view. That contractor backlog is at a record high, they're struggling to keep up with demand. And so there's a bit of a pinch point right now in the contractor community, and that substantiates the fact that the end market, leading indicators are positive, but the short-term results are not what we would expect them to be. As a result of that given our funnel of new opportunities, given some of the more recent guidance given by some of our largest channel partners, we're confident in the second half numbers. From a pricing point of view, I think the reason that we've struggled to be able to pass on higher input costs, namely copper, over the last six to nine months is really a consequence of volume not being where the category expected it. And so I feel as though as the volume returns to the levels that people have planned for, and this is really a competitive dynamic, it has nothing to do necessarily with channel partners' willingness to pass on price increases, I feel as though as that normalizes, my expectation is we'd be able to recover some of that increases in input cost. And actually, our comps from a pricing point of view improved substantially in the second half compared to where we were in the first half. So, in short, I would expect demand to recover to more normal levels in the back half for Enterprise and I would expect the pricing comps to improve and sequentially get better as well.
John Quealy - Canaccord Genuity, Inc.: Great. Thank you.
Hendrikus Derksen - Belden, Inc.: Thank you, John.
Operator: And we will take our next question from Steven Fox with Cross Research.
Steven Fox - Cross Research LLC: Hi. Good morning. I'm just struggling a little bit with the Enterprise commentary. So, maybe just to expand on that, John. Can you talk a little bit about why you think the catch-up happens in terms of specifically what you're seeing from the contractor base? And then, it looks like you underperformed, say, like a benchmark, like the Anixter in North America, if I'm looking at my numbers correctly. Is there anything specific to that? And then, lastly, any other comments on mix of business in terms of Enterprise that may change in the second half of the year versus the first given what you saw in terms of these dynamics you just discussed? Thanks.
John S. Stroup - Belden, Inc.: Yeah. So, on a POS basis – first of all, I don't think we made any comments on our Enterprise North America business. So, I'm not really sure how you'd be able to infer that. I do have access to POS information with all my channel partners by region. And our POS information through Anixter in North America was solid. So, in fact, I think a little bit better than market. So, I thought we had good POS information through Anixter in North America. As it relates to your prior question, we feel as though things started to improve a little bit in the back half of the quarter. We actually thought there was a chance that we might see a little bit stronger order activity at the end of the quarter from some of our channel partners given the POS. And there was a couple of examples of orders that were placed – that were just placed too late for us to be able to service them in the back half of the quarter, which is one of the reasons why our inventory is a little bit higher than what it would normally be. So, we just feel like given the size of the funnel, given the conversations we're having with our channel partners, given the fact that we feel as though the contractor community is attempting to deal with some of their capacity issues, that gives us confidence that things in the back half are going to be better than they were in the second quarter. If you look at our Enterprise business in the third quarter, we're sort of baking in organic growth rates in that kind of 2% to 3%, so it's not as though we're suggesting that it's going to improve substantially from where it was in the first quarter, for example. So, we're really just forecasting it to get back to what we consider to be normal rates.
Steven Fox - Cross Research LLC: That's helpful. And then, just when you factor in the copper impact in Q2, so do we then see some reversal to the benefits of margins in Q3, Q4 versus where you were at Q2 even before considering volumes?
John S. Stroup - Belden, Inc.: Yeah. So, the pricing headwind on a year-over-year basis in the second quarter was roughly $6 million, and we would expect that to improve sequentially by about $2 million, so we'd still have a bit of a headwind on a year-over-year basis, maybe around $4 million or so. But we do expect that that would improve sequentially from Q2 to Q3, and we baked that into our guidance.
Steven Fox - Cross Research LLC: Great. Thank you very much.
John S. Stroup - Belden, Inc.: You're welcome.
Hendrikus Derksen - Belden, Inc.: Thank you, Steve.
Operator: And we will take our next question from Shawn Harrison with Longbow Research.
Shawn M. Harrison - Longbow Research LLC: Hi. Good morning.
John S. Stroup - Belden, Inc.: Good morning, Shawn.
Hendrikus Derksen - Belden, Inc.: Good morning.
Shawn M. Harrison - Longbow Research LLC: Back half of the year, I guess, the ramping of the fourth quarter, it's always a bit of an unknown, but it looks even more back half weighted than I would have anticipated. So, wondering to what dynamic the Enterprise recovery, maybe Grass Valley getting a little bit better, if you could speak on kind of the trend at Tripwire, and if you see year-over-year growth returning in the fourth quarter? Maybe even Thinklogical just driving a stronger fourth quarter than I would have anticipated.
John S. Stroup - Belden, Inc.: So, Shawn, you're right. Our fourth quarter is traditionally our strongest quarter predominantly because demand is higher in our high-margin businesses. So, we're expecting that our Grass Valley business will have its strongest quarter of the year in Q4, which still be at best flat on a year-over-year basis, but it would be the strongest in the year. We expect that our Tripwire business will have its strongest quarter of the year in Q4. And now, Thinklogical also has its strongest quarter of the year in Q4, and those are all high-margin businesses. So, if you had in front of you the sequential bridge from Q2 to Q3 and Q3 to Q4, you're going to see the benefit of volume, you're also going to see the benefit of mix, and you're also going to see some improvements in the cost structure as it relates to our restructuring activities. So, it all lines up, when you add them all up together, I would agree, the number and the margin seemed pretty rich. But we've got a lot of confidence that we've got the underlying support and the buildup for the forecast in the back half and in our guidance.
Shawn M. Harrison - Longbow Research LLC: John, the comment on improving cost structure, was that related to the restructuring, if I believe maybe two years ago on the Industrial side or is that something incremental that you're looking to adjust?
John S. Stroup - Belden, Inc.: No. It's the former. It's the manufacturing restructuring that we did announce and we expect improvement throughout the year from those initiatives.
Shawn M. Harrison - Longbow Research LLC: Okay. And then a follow up, just – I guess a lot of things have happened with the capital structure now over the past 12 months with the preferred equity raise, and then now the debt pay down, maybe closing one deal but maybe not others you would have anticipated. So, if you could talk about going forward you have this liquidity out there, the M&A pipeline, but you also have a buyback, and maybe how you would consider the buyback in the back half of the year as well.
John S. Stroup - Belden, Inc.: So, we have authorization for the buyback as you correctly pointed out, Shawn, that was given to us by our board at the last quarterly board meeting. And given where the stock is trading at today, I think there's a very good chance that we'd be active in the market in a relatively short amount of time. We're surprised by where the stock is trading given the underlying performance of the company. If you look at the EBITDA generation, you look at the earnings per share, the EPS growth, and you compare it to other companies that either have no EBITDA or their EBITDA is close to breakeven, I'm not sure how they get valued. So, we've got a lot of confidence in the company, in the fundamentals and the outlook, and like I said, given where the stocks traded lately, I think buying back our stock could be a very wise thing to do.
Shawn M. Harrison - Longbow Research LLC: And then just on the M&A funnel, John?
John S. Stroup - Belden, Inc.: So, M&A right now continuous to be very active, Shawn. I would say that the biggest challenge we have is the discrepancy between sellers' expectations and the underlying performance of the company. Maybe you saw Digi's results recently, but here's a company that can't seem to find a way not to bring their number down. And for whatever reason, the equity markets aren't responding in a way that we would consider to be normal. And we've got some other opportunities we've looked at where certainly the company is available and we have interest in it, but the gap between what we would consider to be reasonable valuation and what their expectations are is sometimes difficult for us to overcome. So, we keep working them. We've got a number of them that were actually in quite late stages of. But at the end of the day, we're not going to pay more for a company than we think its worth. Particularly, if people are getting caught up in what we would consider to be a relatively frothy equity market.
Shawn M. Harrison - Longbow Research LLC: Very helpful. Thanks, John.
John S. Stroup - Belden, Inc.: You're welcome. Thank you.
Operator: And we would take our next question from Mark Delaney with Goldman Sachs.
Mark Delaney - Goldman Sachs & Co. LLC: Yes. Good morning. And thanks so much for taking the questions. First question is on the security software business. John, you mentioned in your prepared remarks you've seen some better momentum within the Tripwire business, with employee incentives fixed and imaged the new product launches. Can you just elaborate a bit more on what you're doing there and is there any sort of metrics you can share with us on the growth rates within that business?
John S. Stroup - Belden, Inc.: Yeah, Mark. So, the Tripwire business performed better sequentially. We still didn't get the kind of growth on a year-over-year basis that we should expect from that business. We do expect though that on a year-over-year basis, the Tripwire business will grow in the second half. We had a couple of, I think, important product launches. Our Enterprise business in North America did improve substantially from where it had been performing, which is a wonderful sign for us because that's where we had some of the most prominent sales turnover issues. We saw a little bit of weakness in Europe this quarter, although it's on the small base, it was weaker than we would have expected. Government continues to hang in there nicely. And so, I was pleased with the sequential improvement in the business. It's obviously way too early for us to declare victory but there are number of positive signs. Win rates are good. The size of the funnel is improving. Vitality is improving. So, there's a number of things that we can point to that gives us a lot more optimism about that business than certainly we were three quarters ago or four quarters ago.
Mark Delaney - Goldman Sachs & Co. LLC: That's helpful. And then a follow-up question on the Industrial business. You mentioned the, obviously, very good improvement that you just reported in the second quarter and a positive book to bill. But any more detail you can provide on how sustainable you think some of the momentum is within the industrial markets? And maybe how much further margins could potentially expand this, maybe get some further improvement, if any, in oil and gas, and you mentioned some restructuring actions that are ongoing in that business?
John S. Stroup - Belden, Inc.: Yeah. We are very pleased with the performance of our Industrial businesses. We were not surprised by it, but obviously, we were very pleased. I would say the thing that I would point out that I'm most pleased by is, in addition to robust growth in discrete which we expected, in the second quarter on a year-over-year basis, our oil and gas business was actually up. So, the only thing we felt that could potentially hold back our Industrial business was continued headwinds in oil and gas, and it was actually up on a year-over-year basis. So, that from my point of view means that we're no longer having to overcome this headwind in our discrete business, which we expected to be strong, can really continue to propel the business from a revenue point of view. And then, I would say from a margin point of view, it performed well. It was in the 19% range in the quarter. Certainly, it's a business that could be above 19%. We have a number of opportunities, I think, to expand margins just through leverage on volume, as well as the cost initiatives that we discussed from a manufacturing point of view. So, I think we have reason to be optimistic on our Industrial business. And unless there is a change in the macroeconomic environment, we just don't see any reason why that business would slow down.
Mark Delaney - Goldman Sachs & Co. LLC: Thank you.
Operator: And we would take our next question from Rod Hall with JPMorgan.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Yeah. Hi. Thank you for taking my question. This is Ashwin on behalf of Rod. I wanted to go back to the discussion around Grass Valley. You mentioned about other push-outs. Can you give us more color on why this project is going to push out, if you have any? And I also wanted to understand, I'll get your take on potential impact from this news of acquisitions that we are seeing in the industries.
John S. Stroup - Belden, Inc.: So, the root cause for the push-outs vary by project, and they are the kinds of things you would typically see. Sometimes, they're technology-related where customers have not yet made a decision. They may still be evaluating different approaches. They may still be evaluating different vendors. And so, that's a common root cause for why we get pushed out. We've had some other customers that have said that, look, we're going to prioritize our capital in other areas. So, we're continuing to see our customers prioritize their capital around over-the-top initiatives as opposed to their traditional infrastructure. I think it's worth noting that the weakness was completely isolated to North America and then particularly in the United States. And without question, that's the area of the world where there is the most contemplation around adopting IT. And so, although we're not certain, it sure feels like a pretty big chunk of this push-out is our North America customer still wrestling with their adoption of IT technology, when, where, how aggressive. And as I said before, win rates are good. We compare results to the competition, we're in good shape. But I think this lack of visibility as it relates to demand from quarter to quarter anyway, I think, is going to be with us a little while. You asked me to comment on some consolidation. Could you be a little more specific about what you meant?
Ashwin X. Kesireddy - JPMorgan Securities LLC: I was just thinking about Discovery's announcement to acquire Scripps, is that having any impact or are there any other similar deals that we can expect?
John S. Stroup - Belden, Inc.: I know exactly what you're talking about. As you probably know, Discovery is a customer of ours. I'm not aware of any immediate impact in that regard. I think consolidation there is healthy. If you look at our customers' willingness or I should say need to be able to improve their cost structure as it relates to play out, having to manage a lot of different workflows, if they can partner with people like Discovery to help them reduce cost and become more efficient, I think that's a good thing for the industry and would positively affect us. So, I'm not aware of any negative elements of that, and my immediate reaction is that it's – consolidation in general in this industry is a good thing.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Okay. Thank you.
Hendrikus Derksen - Belden, Inc.: Thank you.
Operator: And we will take our next question from Matt McCall with Seaport Global Securities.
Reuben Garner - Seaport Global Securities LLC: Thanks, guys. It's Reuben on for Matt. This is a bit of a follow-up on a previous question, but I just want to make sure I understand it correctly. So, you took your guidance up for the full year by roughly $0.35 to $0.40. It sounds like you've got a couple of different headwinds in Enterprise and Broadcast. Can you talk about maybe what's offsetting those that gives you – and maybe you said it, but I just wanted to clarify, what's offsetting the potential copper headwind in Grass Valley maybe a little bit slower than you thought that gives you confidence to essentially keep the rest of your guidance unchanged without Thinklogical and the interest changed from last quarter?
John S. Stroup - Belden, Inc.: Sure. So, I think the simplest way to think of it is, and maybe we should have been more precise is, the guidance has been taken up for Thinklogical and for the debt restructuring. And if you look at the operational performance, the headwinds that we see in Grass Valley and the issue we experienced in the second quarter of Enterprise we think is going to be offset by strength in our Industrial and our Network Solutions business, and our Enterprise business would return to its normal operation. So, we really only have one area of the business that we're concerned about, that's Grass Valley, and we feel like we have enough strength in the other businesses to overcome that.
Reuben Garner - Seaport Global Securities LLC: Perfect. That's very helpful. And then, I know it's a little bit early but as we look out into 2018, can you maybe talk to us about whether it'd be end markets or segment based where you see maybe the most upside from a demand standpoint and where you see potential risks? Again, I know it's early, just wanted to get your initial thoughts on a little bit further out than the next six months.
John S. Stroup - Belden, Inc.: Well, we're going to certainly take the opportunity in December to have our Investor and Analyst Day, and I think we'll reserve our comments until that time. We obviously got a lot of work to do between now and the end of the year, but we'll be back to you with some thoughts on 2018 later in the year.
Reuben Garner - Seaport Global Securities LLC: Yeah. Okay. Great. Thank you.
Operator: And we would take our next question from Noelle Dilts with Stifel.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Hi. Thanks. Good morning. We've spent a lot of time talking about Grass Valley. I was hoping we could just shift over to PPC quickly. You obviously saw sort of a catch-up from that headwind or a pause you were expect – you saw in the first quarter. So, I was hoping you could just touch on sort of how you're thinking about the outlook for that business, and given the investments we're seeing from cable MSOs and in fiber, and the competition from telcos how you're thinking about the outlook for that business.
John S. Stroup - Belden, Inc.: Yeah. So, first of all, hi, Noelle. So, yeah, the PPC business or our broadband business, they had a weak April, so they had a weak first quarter. April was also weak, and we began to see improvement in May and June. And we really believe that this is not an issue for our MSOs' inability to be competitive. We're very confident that the MSOs are well positioned to be competitive in broadband, and we believe the demand for broadband will continue to be very strong. So, we've characterized this, I think, correctly as a temporary headwind as a couple of our larger customers have integrated acquisitions. That's really manifested itself in two ways. One is their ability to be as active or aggressive in sort of their normal marketing campaigns as it relates to introducing new products; that slowed temporarily. They also were managing through some inventory levels that they struggled a bit with through the integration. And then I would say, lastly, at least in one case, some of the infrastructure investments that they're making, they're trying to rationalize two companies, different approaches and what's the right approach going forward, and we saw some pause on that. The people that run the PPC business, they're very experienced, they're very confident. They believe that they're going to have a much better second half than they did first half, and based on my experience with that team, I have every reason to believe them.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Great. That's really helpful. And then you mentioned oil and gas within Industrial was up in the quarter, can you tell us how much? And – I mean, do you feel like you're sort of now at a point where we could see growth in oil and gas moving forward? We've sort of bottomed and are now moving into the sort of easier comps. And I guess, if you could just expand on sort of how you're thinking about growth in Industrial, I guess, considering both what you're seeing in discrete and the reduction of the oil and gas headwind as we move into back half of 2017 and into 2018.
John S. Stroup - Belden, Inc.: Yeah. So, if I take our oil and gas business and our process business that excludes oil and gas, so if I take the two together and just call it process, those businesses in combination were flat on a year-over-year basis. Oil and gas was actually up a little bit, and process excluding oil and gas was actually down a little bit. But in total, the process business was flat. Our discrete business was up about 8% in combination. Our energy business was up. Transportation was up. So, my view is that what we saw in the third quarter from our Industrial businesses is likely to continue through the rest of the year, and obviously, as I said before, unless the macro environment changes in some way we don't expect, I believe it will be strong through next year.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Great. And last question given – and I know you're expecting non-res to kind of improve in the back half of the year, any thoughts on how you're thinking about the length of that cycle and when we might be looking at things really starting to slow down?
John S. Stroup - Belden, Inc.: Well, my view, Noelle, I think I have talked about this before, I think as long as the interest rate environment is supportive, it seems to us like we're going to continue to see good leading indicators out of non-res starts, ABI index, those are all holding up. It's obviously difficult for us to predict long-term cycles. We do have, as you know, about a nine-month lag between ABI or – sorry, the Dodge Momentum Index and the starts to where it hits our business. And so my opinion is as long as there's no dramatic move in monetary policy, I would expect non-res to continue to be strong.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Great. Thanks so much.
Operator: And we would take our next question from Sherri Scribner with Deutsche Bank.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi, guys. Good morning. A – [068DRY-E John Stroup]>: Hi, Sherri.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi. I wanted to ask you more of a top-level macro question. It seems like if we look across the different segments and commentary from other companies, the Industrial segment seems to be seeing a bit of an improvement. You commented on the oil and gas markets stabilizing and seeing some growth year-over-year. Is that sort of your view? I mean, clearly, you guys have large exposure to a number of different Industrial segments, and then, of course, you've got the broadband business in the PPC side, and the non-residential installations of IT. But I just wanted to get your sense of if you think the economy is sort of improving and is that really, to some extent, what we're seeing reflected in some of the upside in Industrial and...? A – [068DRY-E John Stroup]>: Yeah. I think the short answer to that is yes. We came into the year thinking that the Industrial segment would be strong, it is. The only real question mark we had was oil and gas, and those headwinds seem to be subsiding. Ironically, I think the issues we have in Enterprise is a consequence of a strong economy. The very fact that our contractors can't seem to have enough labor to install the product is the consequence of, I would say, a strong economy. And the situations we're dealing with at PPC are micro-related issue. They have to do with industry consolidation and they're temporary. And I would say the Grass Valley situation is also micro and has really nothing to do with the macroeconomic environment. So, yeah, the short answer is I think the macro environment is very healthy. And my prediction is it will remain healthy up and until the fed decides to significantly change the policy and interest rates.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Okay. That's very helpful. I mean, it seems also to be like that to me. And then, maybe some sort of detailed questions for Henk. Can you maybe comment a little bit on the tax rate being as low as it was? Is that at all related to the accounting changes related to accounting for stock option expense? And then, also on the interest expense line, should we model in 2018 and 2019 a sort of $18.5 million interest expense number on a quarterly basis? Thanks.
Hendrikus Derksen - Belden, Inc.: Yeah. So, no, the tax rate improvement is a function of planning. No impact from accounting, so it's purely planning and structuring initiatives that allowed us to come in for the quarter slightly better. And I think your assumption on the interest expense by quarter is right. That's a good place over for now.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Thank you.
Hendrikus Derksen - Belden, Inc.: You're welcome.
Operator: And that concludes today's question-and-answer session. Mr. Kevin Maczka, at this time, I turn the conference back to you for any additional or closing remarks, sir.
Kevin Maczka - Belden, Inc.: Okay. Thank you, Alan, and thank you, everyone, for joining today's call. If you have any questions, please reach out to the IR team here at Belden. Our e-mail address is investor.relations@belden.com. Have a great day. Thank you.
Operator: And thank you, ladies and gentlemen. This concludes our call for today. You may now disconnect from the call and thank you for participating.